Operator: Greetings. Welcome to the Crane Company Fourth Quarter 2023 Earnings Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Jason Feldman, Vice President of Treasury and Investor Relations. Thank you. You may begin.
Jason Feldman: Thank you, operator, and good day, everyone. Welcome to our fourth quarter 2023 earnings release conference call. I'm Jason Feldman, Vice President of Treasury and Investor Relations. On our call this morning, we have Max Mitchell, our President and Chief Executive Officer; and Rich Maue, our Executive Vice President and Chief Financial Officer. We'll start off our call with a few prepared remarks, after which we will respond to questions. Just a reminder, the comments we make on this call may include some forward-looking statements. We refer you to the cautionary language at the bottom of our earnings release and also in our annual report, 10-K and subsequent filings pertaining to forward-looking statements. Also during the call, we'll be using some non-GAAP numbers, which are reconciled to the comparable GAAP numbers and tables at the end of our press release and accompanying slide presentation, both of which are available on our website at www.craneco.com, in the Investor Relations section. Now let me turn the call over to Max.
Max Mitchell: Thank you, Jason, and good morning, everyone. Thanks for joining the call today. Well, we delivered another impressive quarter, with results again outperforming expectations with adjusted EPS of $0.90 in the fourth quarter, finishing and historic and very successful 2023. And after a truly outstanding year, we started off 2024 on a positive note with another acquisition announced January 3, this time in Aerospace & Electronics, founded in 1968 and based in Auburn, California. Vian is a global designer and manufacturer of multistage lubrication pumps and lubrication system components technology for critical aerospace and defense applications, with sole sourced and proprietary content on the highest volume commercial and military aircraft platforms. Through August 2023, we estimate that Vian had trailing 12-month sales of approximately $33 million, and adjusted EBITDA of approximately $8 million with a solid order backlog. The purchase price was $103 million, which is approximately 13 times trailing EBITDA. Vian is highly complementary to the fluid solution in our Aerospace & Electronics segment, significantly expanding our portfolio of mission-critical aerospace flow control products. Vian has strong positions on the most attractive commercial and military aircraft platforms today with significant content on the F-35 and the 737 and the A320 families of aircraft. Combined with our existing fluid and thermal management capabilities, Vian further strengthens our positioning for future content opportunities on auxiliary power units, gearboxes and engines. We expect this acquisition to achieve 10% ROIC with approximately $0.20 of EPS accretion, excluding intangible amortization by year 5. But as with most of our acquisitions, there are also several opportunities we see to deliver in excess of that return. In the case of Vian, that will include broadening their marketing efforts to additional customers where Crane has had long-term relationships for decades. We also see opportunities to leverage Vian's highly sophisticated machining capabilities to in-source components we currently acquire externally across the broader aerospace business. My personal thanks to Chris and Elizabeth Vian, and the rest of the Vian family, in trusting Crane as the stewards of this outstanding second-generation family business to our care and the outstanding Vian team that is now part of Crane. We continue to progress on our existing M&A funnel, where we expect additional opportunities to become actionable over the next several quarters’ primarily smaller and midsized transactions. Continuing to execute just as we committed to in terms of seeing accelerated M&A and our strategy as we move forward. Let me repeat a few highlights from our full year performance in 2023. Remember, we started the year with the April separation, which was completed on schedule, executed flawlessly and based on investor interest levels in our stock's performance, clearly a transaction that was well received by our shareholders. Overall, 7% core sales growth drove a 28% increase in adjusted operating profit from continuing operations, reflecting very strong operating leverage and disciplined pricing. At Aerospace & Electronics, we delivered 18% core sales growth. And even after that increase in sales, we closed the year with an all-time record backlog, reflecting how well positioned we are to drive continued growth through the rest of this decade and beyond. And at Process Flow Technologies, adjusted segment margins reached a record 19.9%, more than 350 basis points better than our prior year record.
Richard Maue: 50, 50 basis points.
Max Mitchell: And a great new base for our margin growth from here as the business continues to structurally shift to higher growth and higher-margin end markets and products. And we have made significant progress with capital deployment, demonstrating we can complete high return and attractive acquisitions in both Aerospace & Electronics as well as Process Flow Technologies, to strengthen our businesses and further accelerate growth. Building off that strong 2023 performance, we are introducing adjusted EPS guidance for 2024, in a range of $4.55 to $4.85, reflecting 10% EPS growth at the midpoint. That growth is driven by expectations of another strong year at Aerospace & Electronics, tempered by known, understood and previously communicated end market conditions at Process Flow Technologies, along with a slightly higher tax rate and interest expense. Remember that M&A accretion is also limited in year one for both transactions based on current interest rates. This is a high confidence guidance that we have direct line of sight to delivery. Our 2024 guidance assumes muted industrial activity with slowing in certain industrial markets and continued gradual improvement in the aerospace and electronics supply chain. While this is our best thinking today, we believe there may be upside as the year progresses if those two assumptions prove conservative, and we are structured to meet any unexpected changes in demand. There's also a potential upside to guidance from capital deployment. We are successful with M&A in the quarters ahead as we expect. As a reminder, we have an extremely strong unconstrained balance sheet, providing us significant acquisition capacity. We have a proven track record of successfully integrating acquisitions and over delivering on synergies. We operate in markets with numerous potential small and midsized targets as well as a smaller number of large potential acquisitions. And in our current structure, we are entirely focused on our two global strategic growth platforms, Aerospace & Electronics and Process Flow Technologies. And reflecting our confidence in both our near-term and long-term outlooks, yesterday, we announced that we are raising our dividend by 14% to $0.82 per share annually. I'd like to also share a few success stories in the quarter as well on core growth and share gains within our segments. In Aerospace & Electronics, our fluid solution was awarded the fuel cell coolant pump for a hydrogen electric zero-emission powertrain. While the initial application is intended to be for smaller regional turboprop aircraft, our customer is also working on solutions for larger regional jets. This is another example of how our focus on next-generation technologies over the last decade has positioned us as one of the providers of choice for emerging applications. Two quarters ago, we discussed our selection to provide high-power, bidirectional power conversion for both demonstrator platforms for the M2 Bradley replacement vehicle. With those demonstrator programs secured we are now seeing a substantial number of additional hybrid electric ground vehicle demonstrator opportunities. And we are currently pursuing five additional programs where we are optimistic about our prospects. We've also previously commented that we've been selected to provide content for a number of sixth-generation fighter demonstrators and collaborative combat aircraft programs. That activity is also accelerating. We now have six platforms either secured or in various stages of RFPs. Our antiskid brake control system was selected by Deutsche Aircraft for their D328eco regional turboprop platform, another promising zero-emission platform. And activity remains robust across our solutions with proposals in process or submitted for additional content on a number of other programs across a wide range of our solutions from power conversion and thermal management to proximity switches and antiskid brake control systems. At Process Flow Technologies, we also had a number of notable developments. In our Pharmaceutical business, we secured a $5 million order for a new oncology therapy facility, our first win with this particular customer in over a decade. We won this order due to advances with our EX diaphragm technology, that supports a higher temperature range and longer product life that the entrenched incumbent provider was unable to meet. It's a great sign as other pharmaceutical companies are continuing to develop processes with higher and higher temperatures. In our new hydrogen CRYOFLO business, where we've discussed for the last few quarters, we've delivered initial shipments of our Bellows sealed globe valves in the quarter to two large cryogenic equipment OEMs, further evidence that our strategy in this market is working. This business also began quoting on another newly launched product line in this space vacuum jacketed piping, and we expect our first orders for this product during the first quarter. In our Chemical business, we secured nearly $12 million in orders for a new significant project in China as large global chemical manufacturers continue to increase capacity in the region. We won a $4.5 million order for a new LNG facility in the United States. You may recall that we have talked about facility repositioning over the last few years, and this win is a direct result of our actions to position our engineered check valve business to become more competitive in the space with our new production capabilities in India. In our Water and Wastewater business, we had another excellent year driving mid-teens sales growth with strong momentum heading into 2024. During the fourth quarter, we also introduced an extension to our successful Razor Grinder pump platform focused on severe service explosion-proof applications, further expanding our addressable market. Overall, since we launched the Razor product line in 2020, we have nearly doubled the sales of our grinder pump business. My thanks to our global teams for all of their hard work and success both with our recent acquisitions as well as on daily execution and our array of growth initiatives. Overall, 2023 was a great year and we remain confident in our ability to execute on the strategy and vision we laid out at our March 2023 Investor Day event. Namely, a 4% to 6% long-term core sales growth rate from resilient and durable businesses that drive about 40% of strategic growth platform sales from the aftermarket, with substantial operating leverage on top of already solid margins today, that should lead to double-digit average annual core profit growth with potential upside from capital deployment. And with virtually no debt, the capital deployment opportunity is significant. And a 5-year vision to double revenues and get to a scale with $2 billion in sales in each of our strategic growth platforms, with adjusted EBITDA margins above 20%, giving us the opportunity for future strategic portfolio decisions. We certainly finished strong, delivering on that vision in 2023. We're off to a great start, looking forward to an equally exciting 2024. We will provide additional details on our 2024 and longer-term outlook at our next Investor Day event tentatively scheduled for May 14, 2024. Let me now turn the call over to Rich for more specifics on the quarter and some more details on our guidance. Rich?
Richard Maue: Thank you, Max, and good morning, everyone. Another strong quarter, with 5% core sales growth driving 14% adjusted operating profit growth. On a full year basis, 7% core sales growth drove a 28% increase in adjusted operating profit from continuing operations, demonstrating accelerating core growth results and consistent operating leverage on higher sales. Continued excellent performance across all businesses and despite some persistent supply chain challenges that continue to impact the broader aerospace and defense industry. Getting into the details, I will start off with segment comments that will compare the fourth quarter of 2023 to 2022, excluding special items, as outlined in our press release and slide presentation, and then I'll comment on our 2024 outlook for each segment and for our overall P&L. Starting with Aerospace & Electronics. No change in end market conditions, which remain very strong as reflected in both our growth rate in the quarter and for the full year 2023 and as well as our backlog position. On the commercial side of the business, aircraft retirements remained very low due to high demand and limitations on aircraft deliveries. This results in an aging fleet that requires more aftermarket parts and service and demand for new aircraft continues to exceed what the OEMs can deliver. And air traffic activity is also strong, with global air traffic now basically at pre-COVID 2019 levels. On the defense side, we continue to see solid procurement spending and a continued focus on reinforcing the broader defense industrial base given the heightened global uncertainty today. Across both commercial and defense, we are positioned extremely well, with many of our technologies seeing the most significant interest and highest rates of growth. Overall, just a solid demand environment with no signs of slowing anytime soon. That strong demand was reflected in our fourth quarter growth rates, with sales of $213 million, increasing 17% compared to last year. Even with this high level of sales growth, backlog of $701 million increased 14% year-over-year, with a 3% increase sequentially. In the quarter, total aftermarket sales increased 34% with commercial aftermarket up 44%, and military aftermarket up 11%. OE sales increased 10% in the quarter, with 14% growth in commercial and up 6% in military. While the demand environment remains very strong, we continue to remain supply chain constrained, with gradual improvement over the last few months. As we discussed last quarter, this is not just related to on-time deliveries from suppliers but the broader supply infrastructure, spanning from raw materials, components and labor not only in terms of availability, but also supplier employee turnover and employee experience levels. Areas of specific shortages continue to shift and evolve, although overall component availability has modestly improved. Consistent with our commentary last quarter, we have incurred some additional costs related to expediting shipments due to supply chain issues as well as costs associated with qualifying new suppliers and adding second sources where it makes sense. Adjusted segment margins of 20.2% declined slightly from 20.6% last year, primarily reflecting slightly higher engineering expense and the supply chain-related costs I mentioned, largely offset by benefits from higher volumes and productivity. On a full year basis, core sales growth of 18% exceeded our most recent guidance of 16% growth and adjusted operating profit of $159 million was above our most recent guidance of $157 million. Looking ahead to 2024, we expect sales growth of 14.5% with 10% core sales growth and a 4.5% benefit from the Vian acquisition. That 10% core sales growth is above our long-term expected sales CAGR of 7% to 9%, and it reflects what we have clear visibility to delivering based on the current state of the supply chain, and it assumes our current unmet demand in the $50 million to $60 million range, that it doesn't materially change over the course of the year. We expect margins to increase 140 basis points to 21.5%, reflecting 35% leverage on core growth. While very solid at 35%, it is toward the lower end of our targeted 35% to 40% range, consistent with our commentary last quarter and today regarding supply chain and inefficiencies and costs that will improve gradually. However, we are confident that the actions we are taking now, being appropriately assertive on pricing where we believe we still have significant opportunities as we move forward, continuing to drive productivity, expediting and adjusting staffing in our factories to manage the supply chain issues and continuing to make investments in new technology, all position us very well for strong leverage and further margin expansion in the years ahead. Total leverage is slightly lower than the 35% due to the Vian acquisition, and that's because acquired sales always only leverage mathematically at their operating profit margin level in the first year. From a cadence perspective, sales should increase sequentially across the full year, with margins likely strongest in the second and third quarters given expected mix. At Process Flow Technologies, we are well positioned to continue to outgrow our markets even though we continue to see signs of slowing demand as previously communicated and messaged for the last few quarters. The softness remains largely confined to European chemical, non-residential construction and general industrial markets, as well as some project push outs in North America, but we did see some very nice project wins again in the quarter. Generally, projects have remained significantly stronger than MRO activity as end users continue to focus on cost reduction and inventory levels. As a reminder, if you look at prior cycles, given our specific product exposures, we typically see slowing activity a few quarters before many others playing in the broader process markets. But as displayed in 2021 and previous cycles, we also tend to recover a few quarters earlier. We continue to focus on what's within our control, namely, gaining share to outgrow our end markets. While our market outlook is unchanged, orders in the fourth quarter were better than expected again as they were in the third quarter and again, driven by our key project wins and share gains rather than a fundamental change to our market outlook. We still expect negative orders for the first few quarters of 2024 before we see a positive inflection likely later this year. In the quarter itself, we delivered sales of $272 million, up 8%, with core growth down slightly but more than offset by a 6% acquisition benefit and a 2% benefit from favorable foreign exchange. Adjusted operating margins of 17% increased 90 basis points from last year, primarily reflecting strong value pricing and productivity gains, partially offset by lower volumes and unfavorable mix. Compared to the prior year, foreign exchange neutral backlog decreased 1%, and core FX-neutral orders increased 1%. Sequentially, compared to the third quarter, core FX-neutral backlog increased 2%, with core FX-neutral orders down 2%. Remember that the year-over-year backlog decline reflects in part the natural impact of shortening lead times as the supply chain continues to improve. For 2024, consistent with our commentary last quarter, we expect approximately flat core sales, with continued share gains and pricing offsetting a weaker market, and the Baum acquisition should add approximately 4.5% to segment sales. We expect margins to increase slightly to approximately 20% following our record year in 2023, with slight dilution from the Baum acquisition, offset by productivity and pricing. This is an outstanding result considering the more challenging end markets expected in 2024. For context, remember that in 2019, just before COVID, margins were 13.6%. The significant step function change in margins reflects structural shifts in the business to higher growth and higher margin end markets, the contribution from accretive new product introductions and pricing that is both disciplined and appropriately assertive given the inflationary environment and our product differentiation. From a cadence or timing perspective, we expect 2024 to be far more level loaded than 2023. We expect first quarter sales slightly above the fourth quarter exit rate, with margins similar to full year 2024 guidance overall. And overall, the third quarter is likely to be the strongest for the year. At Engineered Materials, sales of $49 million decreased 7% compared to last year. As expected, adjusted operating profit margins decreased 250 basis points to 9.3% on the lower volumes. On a full year basis, core sales declined 13% driven by the RV cycle. However, adjusted margins increased 60 basis points to 14.8%, really impressive performance given the end market challenges last year. For 2024, we expect both sales and margins to be flat compared to 2023, as the RV market stabilizes, with a normal quarterly cadence with fourth quarter seasonality -- seasonally, the slowest. Moving on to total company results. In the fourth quarter, adjusted free cash flow was strong at $152 million, remember that full year free cash flow is difficult to interpret given the accounting related to the separation following the first quarter. However, I would frame up performance as solid with some modest understandable headwinds due to some supply chain inefficiencies that everyone in the industry is dealing with. Those headwinds, of course, are only timing related and will reverse in the future. Total debt at the end of the fourth quarter was $249 million, with $330 million of cash on hand. At the beginning of January, after the end of the fourth quarter, we drew $100 million on our revolving credit facility to fund the Vian acquisition. We continue to have substantial financial flexibility, with more than $1 billion in M&A capacity today and reaching as much as $4 billion by 2028. While this is more financial flexibility than we have had historically, our capital allocation strategy is unchanged. We will deploy our capital with the same strict financial and strategic discipline that we always have employed, prioritizing internal investments for growth, followed by M&A and returns to shareholders. Now turning to our 2024 guidance. As Max mentioned, our initial adjusted 2024 EPS guidance is in the range of $4.55 to $4.85, reflecting 10% EPS growth at the midpoint. Guidance assumes total core growth of 3% to 5%, with a 4% benefit from acquisitions, that 3% to 5% growth will drive 11% growth in adjusted segment operating profit. Additional details of our guidance are included in our press release and the slide presentation on our website, but other key assumptions include: corporate expense of $75 million, non-operating expense, primarily net interest expense of approximately $20 million, tax rate of 23.5% and diluted shares of $58 million. And we expect free cash flow of $240 million to $265 million, reflecting over 90% of free cash conversion. Hey, in my 16 years at Crane, it has never felt better a lot of momentum across the board and looking forward to a continued incredible 2024. Operator, we are now ready to take our first question.
Operator: Thank you [Operator Instructions] Our first questions come from the line of Damian Karas with UBS. Please proceed with your questions.
Damian Karas: Hey good morning guys. Congrats on the quarter.
Max Mitchell: Thank you.
Richard Maue: Thank you, Damian.
Damian Karas: You bet. Maybe we could start on the A&E margins. You're capturing a little bit less incremental than we'd expect, just given the sales strength. Rich, maybe you can just kind of help us bridge that there? I know you mentioned you're getting some additional costs related to expedited shipping. Are you not presuming that some of those costs abate in 2024, and that some of these supply chain conditions actually get a little bit worse before they get better?
Richard Maue: Yes. I think we do expect to see some of those headwinds abate as we move forward. It's a gradual improvement, I would say. In the quarter itself, margins, the leverage was a bit lower, but not too far off what we expected when we issued our revised guidance last quarter. So continuing to see those headwinds from a supply chain perspective. Look, overall, we leveraged at 31% on the full year, which is pretty impressive overall considering the environment we're in and those supply chain constraints. We're back to above 20% OP, and we are guiding to some pretty impressive leverage performance next year at 35%, and we have that confidence, Damian. So we see that path. And again, a little bit of improvement gradual as it relates to the supply chain constraints that we've seen in those costs that have impacted us here in the second half, or really throughout all of 2023.
Damian Karas: Got it, thanks. And then maybe switching over to PFT. You've only seen orders down, really, one quarter, but the last few quarters actually are showing stability or modestly up organic order rates. So could you just help us to understand like the short cycle versus some of your comments on the long cycle, I'm presuming that the orders are still up on the project base. But maybe if you could just give us a sense for like how much the short-cycle volumes have, in fact, kind of come off the peak? And it sounds like going forward, you're thinking that maybe short cycle is kind of stable, longer cycles down the next couple of quarters, but then starts to improve. Is that how you're kind of thinking about it?
Richard Maue: Yes. Look, we see -- we saw -- Max had outlined a number of projects that we won in the quarter again. And yes, they've offset some of the underlying trends that we've been communicating in terms of weaker demand on the short-cycle MRO portion of the business, where most of the chemical companies that we're servicing are focused on cost reduction right now still, and we see that happening as we move through the first nine months of 2024. So that trend is continuing. So there was declines in MRO, mainly in Europe, but also a bit in the U.S. But the projects have really been what we're seeing and what you're seeing as the uplift, offsetting that underlying demand shortfall. So the new LNG facility, the projects in China and so forth, the pharmaceutical project win. So these are great, great wins and very strategic, but they are offsetting what we're seeing as a fundamental underlying demand shortfall as we move through the first nine months.
Max Mitchell: Still very consistent, Damian, with the trend that we're seeing. We just -- as we said last quarter, it hasn't declined quite the rate that we had thought going into 2023. We still see the clear trend to trough, being reached in an inflection point by Q3, Q4 of 2024. So all the underlying data still supports our forecast here in our guidance.
Damian Karas: Okay. But any ballpark number on kind of how much the short-cycle volumes are down from the peak earlier last year?
Richard Maue: I mean the short cycle piece, do we have the breakout of that off hand. It's probably -- it will be low double digit, probably in total, just on that portion. Something like that, Damian.
Damian Karas: Okay, cool. Thanks a lot. Appreciate it guys. I’ll pass it along.
Richard Maue: Thanks Damian.
Damian Karas: Thank you.
Operator: Thank you. Our next questions come from the line of Scott Deuschle with Deutsche Bank. Please proceed with your question.
Richard Maue: Good morning.
Scott Deuschle: Rich, sorry if I missed this, but how does the aftermarket growth at A&E in the fourth quarter decomposed between commercial aftermarket and then defense aftermarket?
Richard Maue: Yes. Commercial aftermarket was up about 44% and defense was up 11%.
Scott Deuschle: Wow. Okay. And then, Rich, for the 10% core growth at A&E in 2024, can you say how that outlook bifurcates between commercial aero and defense, or any kind of split just between the different end markets there for 2024 and that 10%? Thanks.
Richard Maue: Sure, Scott. We'll definitely provide a lot more detail at our Investor Day, but just to give you some maybe high-level numbers. Commercial OE is going to be up in the, call it, mid-teens area. Military will be maybe below single-digit to flattish, something like that, just given the momentum that we saw there all year. And then on the commercial aftermarket side, we're looking at low double-digit military will be in the double digit, I would say, firmly in the double-digit area, if that helps.
Scott Deuschle: Okay. Yes. And then switching to PFT. I appreciate the conservatism on the margin outlook there, but can you go in a bit more detail as to why the margins would only expand 10 basis points in 2024, or maybe to ask it a different way, what scenario are you protecting yourself from with that [indiscernible]?
Jason Feldman: Yes. I mean remember, it's on flat organic growth. We've got an acquisition that initially is going to be slightly dilutive to margins longer term, it won't be. But next year, it will be. And the mix, right, if you think about the commentary in terms of what's been softest for us over the past couple of quarters and what we expect to be softest into 2024, it's chemical, right, which is a good margin business for us. So there's going to be likely unfavorable mix.
Richard Maue: Yes, I would just supplement with the pricing associated with next year as well. So we are doing continued -- the teams are doing a fantastic job continuing to drive price that would offset what you'd obviously expect in the way of continued inflation, right? So that all taken together drives that flat margin performance, which given the volumes, in our view, a pretty good print for us.
Scott Deuschle: Right. Okay. And then last question, just, Rich, anything on cadence for PFT margins for the year? Thanks.
Richard Maue: Yes, it will be fairly level loaded through the year. There might be a little bit of strength in Q3. But right now, as we're looking at it, it's going to be fairly level loaded maybe a little, little bit shy or lower in Q1.
Scott Deuschle: Thank you.
Operator: Thank you. Our next questions come from the line of Justin Ages with CJS Securities. Please proceed with your questions.
Justin Ages: Hey good morning. Thanks for taking the questions. First one, just on hydrogen. I know you mentioned some shipments that were going out. Can you just give us an update on when that's going to reach critical mass, when we can expect it to turn, inflect, basically?
Max Mitchell: That's a good question as we think about inflection. I mean, we're building this business up ground up. This was -- we had looked at an acquisition years ago in the hydrogen space, and we're not successful. We clearly set our sights on the market. This is right in our sweet spot. So we have the core capability in balance piping. And we said on this journey, we're building this business. We're also looking at some M&A as we move forward. But right now on core, we see this as a -- easily by 2030, we're using some very large numbers internally that we are switching towards. I hadn't thought about the inflection point critical mass. But clearly, by 2025, I think we're seeing some [indiscernible] to provide more color at the Investor Day, too, Justin.
Justin Ages: Perfect. No, that's helpful. And then just on acquisitions, Baum has been nice to see, Vian has been nice to see. And I think you mentioned in the prepared remarks about focusing on midsize. Can you give us an update? Are you currently involved in any processes? Are you close? And are those in A&E or PFT?
Max Mitchell: I'd say there's a lot of activity in both, which is normal. So our funnel is full. There's a lot of activity. It bodes well for the first couple of quarters here potentially. We'll see. But very solid activity.
Justin Ages: I appreciate the update. Thanks for taking the questions.
Max Mitchell: Thanks Justin.
Operator: Thank you. Our next questions come from the line of Mariana Perez Mora with Bank of America. Please proceed with your question.
Mariana Perez Mora: Good morning, everyone.
Richard Maue: Good morning.
Mariana Perez Mora: So my question is on Aerospace & Electronics, and a follow-up to Scott's on the end markets. Could you please describe how much is like wide-body versus narrow-body in driving this like mid-teens growth for commercial OE? And as a follow-up to that, how are you thinking about this like phrase in the 737 MAX production?
Richard Maue: So overall, the way I would think about our revenue profile, we have an excellent mix of content on most major platforms, whether it's narrow-body, wide-body, etc. So narrow-body certainly is the engine that's driving the industry, but we do have significant content on wide-body aircraft as well. So there isn't a unique aspect to our guidance or our business that would suggest the importance of one versus another. We're just going -- we've got content on, again, most, and we're following the build rates.
Max Mitchell: On the 737, I would say that, first of all, it's not good news for the industry. I wouldn't add anything that we're not reading all publicly as this continues to be uncovered difficult times here for Boeing, and we share the concern and look forward to assisting in any way we can as we move forward. As it relates to the freeze rates impact, I would say that our current guide has no risk, as the way we are thinking about this and have planned for the current environment. So from a Crane standpoint, I would just reiterate our guidance and have high confidence.
Mariana Perez Mora: And is there any way [indiscernible] you could share...
Jason Feldman: I...
Mariana Perez Mora: You could share -- sorry, go ahead.
Jason Feldman: No, I was going to say the one thing I'd add is just next year, we also do expect, given our specific mix in the market, a pretty big uplook in regional, which is contributing to that growth rate nicely as well.
Mariana Perez Mora: And particularly on the MAX, could you please share like, I don't know, shipset content or any metric for us to be able to measure how much of an impact that could have?
Jason Feldman: Yes. We don't provide shipset content. But what I'd say, and obviously, it depends on what's going on in the rest of the business and specific shipment rates for 737. The 737, generally, 2023, next year 2024, and in most years, it's somewhere in the vicinity of 5% to 10% of sales on the OE side on probably a little bit below the middle of that range.
Mariana Perez Mora: And last one from me is on M&A. Where are you seeing in terms of pricing? And how competitive are the deals that you're pursuing?
Richard Maue: Yes. It's still a very competitive environment. We haven't seen too much easing in pricing. I would say no real big changes that we've seen over the last six months in that regard.
Mariana Perez Mora: Great. Thanks so much.
Richard Maue: Thank you.
Operator: Thank you. Our next questions come from the line of Matt Summerville with D.A. Davidson. Please proceed with your question.
Richard Maue: Good morning, Matt.
Matt Summerville: Thanks, good morning. Just a couple of follow-ups on A&E. When you look at the business in 2023, almost got back to a top line equivalent to where it was pre coded yet margins are still comfortably below. Can you help kind of bridge the A&E business circa 2019 to where it is in 2023? And do you have a longer-term line of sight to those to that pre-COVID level of profitability? And then I have a follow-up. Thank you.
Richard Maue: Yes. We absolutely see that ability to get back to those margin levels without a doubt. In terms of what -- a comparison from this year to 2019, I would also say that the volumes, while we're seeing a lot of demand aren't yet fully back in terms of volumes. So a lot of what you've seen in our progress this year has been priced to offset inflation, not as accretive as we've seen in the Process Flow Technologies business. So there's a little bit of a volume price mix that impacts the overall margin profile. So when those volumes do come back, we will see that leverage at that higher end of that 35% to 40% range, and that will yield a margin profile that's back to those levels.
Matt Summerville: And then as a follow-up, can you talk about sort of the timing looking out? I realize it's probably not 2024, all that significant for you guys. But can you talk about when you start to see some of the more material, programmatic-driven ramp on your military side of the business? What part of the current -- the 2020s, do you really start to see that begin to rev for Crane?
Richard Maue: Yes. 2025, without a doubt, yes. And then just ramping into 2026, we might see a little bit at the end of 2024, but it will be that sort of low rate initial production, but mainly 2025, 2026. Those are the AESA radars. Those are the F-16 brake control upgrade. I mean there's some pretty sizable wins that should start to ship in 2025.
Matt Summerville: Understood. Thanks Rich.
Operator: Thank you. Our next questions come from the line of Nathan Jones with Stifel. Please proceed with your questions.
Nathan Jones: Good morning everyone.
Richard Maue: Good morning.
Nathan Jones: Maybe just following up on that question. Is there any quantitative measures you can give us on those 2025 and 2026 defense platforms, the ramp-ups and how big they might be and how much impact they might have to revenue?
Max Mitchell: Well, we've talked in the past to be consistent on defense power. As we've described, we've got this incredible platform of existing wins that we have -- that we're delivering on today, commercial and defense. We're winning new business, defense power, in particular, the ESA radar, LTAMS, TPY4, Sentinel, F110, all in the $10 million a year range. Landing the F-16, $30 million over the course of three years, with further upside. 2025, 2026, with foreign military opportunities as well. That's sizing a little bit of those that are...
Nathan Jones: Maybe $100 million-plus from those kinds of platforms stepping up in 2025?
Jason Feldman: Not all on 2025, and that's probably that's a little on the high side.
Max Mitchell: So we'll work towards that goal.
Richard Maue: I think the exciting thing about those programs is that their duration as well, right? So these are multiyear -- and that number that you just mentioned is the way to think about the size of each of those programs on average. Some are actually larger than that, starting in that 2025, 2026 time frame and extending out. And just to reiterate for everybody's knowledge, these are all programs that aren't replacing anything else we have. So they're all incremental. That's the exciting thing about the programs...
Jason Feldman: In one...
Max Mitchell: And then, of course, when you look on towards 2030, this is why we're so excited also about all the demonstrators that were on, winning that content. That's the picture we painted in the script as well.
Nathan Jones: Thanks for that one. At the Analyst Day last year, on PFT margins, you guys had targeted 380 basis points of margin expansion over the next few years. And I think, Max, you suddenly mentioned that you got 370 basis points of that in 2023. Can you talk about the major factors that led to you recognizing that margin improvement a lot earlier than planned? And then because I work on Wall Street, and it's what have you done for me lately, what the path is forward to improving those margins from here?
Max Mitchell: Okay.
Richard Maue: Yes. So the major elements are going to be our price cost discipline, without question, is going to be a major factor there. Launching new products that have higher margin than predecessor products, in particular, in areas that are higher growing end markets for us. So a combination of just the pure margin profile of those products plus the associated mix in those areas that carries that margin profile. We also, you might recall, we executed on a repositioning initiative several years ago or a few years ago, and those benefits also reading through. So -- and then just to reiterate, when you think about things moving forward, we should continue to see that margin expansion associated with the higher-end growth markets that we're pursuing. Again, with that new product development and with continued disciplined pricing. But to answer your question, historically, those would have been the components.
Max Mitchell: As we think about moving forward, Nathan, it's as opposed to just flat out margin improvement, it's accelerating growth. And that's where this team is focusing here and leveraging on that growth in that 35% range as we have historically, while we continue to deploy capital and grow inorganically as well. So that's going to be our key strategic focus as we move forward. The team is energized like never before. I mean the teams across Crane are having so much fun right now, not without some of the supply chain challenges and so forth, we've mentioned before. But just the excitement that we have post separation, the new product development, where we're positioned, we're just having a lot of fun, and I'm so proud of our teams globally.
Nathan Jones: Thanks very much.
Max Mitchell: Thanks Nathan.
Operator: Our next question comes from the line of Jeffrey Sprague with Vertical Research Partners. Please proceed with your question.
Jeffrey Sprague: Hey good morning everyone.
Max Mitchell: Good morning.
Jeffrey Sprague: Just a quick one for me, and I apologize, I'm bouncing between a couple of calls this morning. I know you touched on the China demand, which is interesting. We've heard that to -- people are thinking, reshoring is a U.S. thing. But for China, it seems to be happening in petrochemicals. We've heard that from others. But I'm just wondering if you could elaborate a little bit more on what you're seeing in China. And then maybe just more broadly, and again, I apologize if you did cover it in detail. But if you just think about the other key verticals in PFT, kind of the visibility on CapEx and other trends as we progress through the year, anything starting to percolate there that you can shed a little more light on?
Max Mitchell: End markets...
Richard Maue: Yes. I'll hit maybe Jeff, the broader market comments and maybe just touch on China a little bit as well. But where most of the slowing that we're seeing clearly is in European chemical. I think that's consistent with what we've said in the past, project delays and pushouts still are recurring in both North America and China, although they've held up better than expected. So that while there are pushouts, we are seeing some wins. Strength is -- largely related to on our side right now, pharmaceuticals, some in Asia and China, in terms of chemical projects related to localization. China remains, as you know, a net importer of chemicals, but trying to accelerate localization and so forth. MRO in process, again, like I mentioned in my prepared remarks, remains pretty weak. It's worsening modestly, and I would say, with Europe being the worst of that.
Max Mitchell: Well specifically on China, I wouldn't call anything out. But for us, it's not a major shift or trend. I would say that China generally is a little stronger. I would say that our localization efforts are playing out as we anticipated. No major shift to trend, just kind of general solid growth for us in China, but nothing to call out for us, from a Crane standpoint.
Jeffrey Sprague: [Indiscernible]
Richard Maue: Yes, thanks.
Operator: Thank you. We have reached the end of our question-and-answer session. I would now like to turn the floor back over to Max Mitchell for any closing remarks.
Max Mitchell: Super. Thank you. Wow, what a fantastic year in 2023, executing on our strategic separation and driving core execution on growth across Crane, while delivering on shareholder value. Another great quarter and an exciting outlook for 2024. As I complete my 20th year with Crane and year 10 as CEO, I am incredibly proud of the portfolio transformation. Our entire team has driven over decades, higher growth, higher returns and more predictable. And now that we are past the separation, we are energized in delivering continued acceleration of organic growth and further margin expansion, complemented by capital deployment on value-creating acquisitions. As the late, great Charlie Munger said, our experience tends to confirm a long-held notion that being prepared, on a few occasions in a lifetime, to act promptly in scale, in doing some simple and logical thing, will often dramatically improve the financial results of that lifetime. We will continue to execute simply and logically as we move forward and as we continue to scale with our consistent focus on driving shareholder returns. Thank you all for your interest in Crane and your time and attention this morning. Have a great day.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and enjoy the rest of your day.